Operator: Ladies and gentlemen, thank you for standing by [Operator Instructions]. As a reminder, this conference call is being recorded on July 22, 2020. I would now like to turn the call over to Dave Cresci, Investor Relations Manager at MarketAxess. Please go ahead, sir.
Dave Cresci: Good morning, and welcome to the MarketAxess Second Quarter 2020 Conference Call. For the call, Rick McVey, Chairman and Chief Executive Officer, will review the highlights for the quarter. Chris Concannon, President and COO, will discuss automation and our trading volume. And then Tony DeLise, Chief Financial Officer, will review the financial results. Before I turn the call over to Rick, let me remind you that today's call may include forward-looking statements. These statements represent the company's belief regarding future events that by their nature are uncertain. The company's actual results and financial condition may differ materially from what is indicated in those forward-looking statements. For a discussion of some of the risks and factors that could affect the company's future results, please see the description of risk factors in our annual report on Form 10-K for the year ended December 31, 2019 and our quarterly report on Form 10-Q for the first quarter. I would also direct you to read the forward-looking statement disclaimer in our quarterly earnings release, which was issued earlier this morning and is now available on our Web site. Now let me turn the call over to Rick.
Rick McVey: Good morning, and thank you for joining us to review our second quarter 2020 results. Our second quarter results reflect accelerating market share gains, robust credit market volumes and a global shift among dealers and investors toward fixed income trading automation. Revenues were up 47% to $185 million on the back of 44% increase in fully electronic trading volume versus Q2 ‘19. Earnings per share of $2.20 was up 73% year-over-year. Operating margins reached a new record of 56.4%, up from 48.5% last year. Record new issue activity contributed to the increase in market volumes during the quarter. Estimated market share on MarketAxess bucked the normal trend during the quarter with accelerated share gains in spite of the heavy new issue calendar. U.S. high grade estimated share jumped to a record 21.5% during the quarter, up from 18.7% and U.S. high yield estimated share grew to 14%, up from 10.4%. Open Trading volume grew to a new record of $241 billion in Q2, up 87%. With significantly higher volatility and price dispersion during the quarter, Open Trading estimated transaction cost savings reached a new record of $312 million, exceeding company revenues for the second quarter in a row. The value proposition to our clients has never been more clear as we deliver substantial transaction costs savings, essential new market liquidity and greater trading efficiency. I'm also thrilled to announce the appointment of Kourtney Gibson, President of Loop Capital to our Board of Directors. Kourtney's breadth of experience in both equity and fixed income markets and her investor-client relationships, will bring valuable perspective to our company. Slide 4 highlights market conditions. Market volumes measured by TRACE remain high due to the combination of higher credit spread volatility and record new issue volume. Since the COVID-19 market conditions started on February 24th, high grade average daily TRACE volumes have increased 28% and high yield is up 12% versus the levels earlier this year. New issue volumes are at record levels with high grade issuance of $691 billion in Q2, up 150% year-over-year. Credit spreads peaked in March and declined throughout the second quarter, following the fed announcements on liquidity programs. Credit downgrades continued in the second quarter. Year-to-date, approximately $196 billion of high grade debt has been downgraded to high yield. While credit spread volatility has fallen from extreme levels in March, our expectation is that it is likely spread volatility will remain higher than normal in the quarters ahead due to the increased economic uncertainty that is likely to be with us for some time to come. Slide 5 provides an update on Open Trading. Open Trading delivered essential liquidity to market participants throughout the last four months. During the second quarter, Open Trading grew at 33% of our trading volume, up from 25% one year ago. On average, our Open Trading marketplace had 32,000 orders and over $18 billion in notional value available per day for trading. Dealer initiated orders into Open Trading reach record volumes during the quarter, and investors reach new records for providing liquidity on the system. We believe this robust all to all marketplace represents a substantial improvement in fixed income market structure, which is most evident during volatile times. Unlike the challenging experience in credit trading in 2008, market turnover actually increased throughout this recent credit event, demonstrating that new innovations in fixed income markets are creating important new tools for risk transfer in secondary markets. There are encouraging signs that credit market turnover or trading velocity is increasing. Open Trading is creating opportunities for new market participants, leading to record active client firms with over 1,500 institutional firms completing open trades during the quarter. These new participants are important contributors to the Open Trading liquidity pool in credit products. Now let me turn the call over to Chris to provide an update on automation and our trading volumes.
Chris Concannon: Thank you, Rick. Slide 6 demonstrates the growing momentum of automation and credit trading. Automated trading volumes rose to over $32 billion in the second quarter, up from $19.3 billion in the second quarter of 2019. 83 firms used our auto execution functionality in the second quarter, up from 55 the prior year. The average trade size conducted through Auto-X is also rising. In the second quarter, the average trade size using our Auto-X functionality grew to $222,000 versus $184,000 the year prior. Clients continue to increase the size of their orders as they gain comfort with the execution quality of our Auto-X solution. The use of dealer algorithms continues to grow on the platform, with approximately 3.5 million algo responses in the second quarter resulting in over 300,000 trades. Despite recent market volatility, we continue to see strong growth in our automated trading solutions, as both investors and dealer clients look to improve their trading efficiency. Inquiry volume and count reach new highs, demonstrating greater willingness to automate trading work flows. Slide 7 provides a summary of our trading volume across product categories. Our U.S. high grade volumes were up 56% year over year to $415 billion for the quarter, largely due to market share gains and the increase in market volumes. Estimated U.S. high grade market share increased by 2.8 percentage points year over year to 21.5%, while estimated U.S. high grade TRACE volumes were up 36% year over year. Our other credit category volume was up 32% year over year, led again by significant growth in U.S. high yield trading over our platform. U.S. high yield volume was up 85% as estimated market share reached a record 14% and estimated TRACE market volumes rose 37%. Our emerging markets and euro bond volume each grew double digits in the second quarter with virtually all of those gains due to higher estimated market share. We also had another solid quarter of trading in the municipal bonds. In the second quarter 315 unique client and dealer firms traded $3.2 billion in municipal bonds on the platform, up 93% from the prior year. Our rates business maintained its revenue and market share as compared to Q2 2019, and we are continuing to invest in new rates trading solutions. We are excited about the successful launch of our quick-to-trade client solution during the second quarter, and our client onboarding for this unique solution is very encouraging. Also, our treasury auto hedging solution recently crossed $2.8 billion in volume since launch, and hit a record of close to $1 billion in volume during the month of June. We also plan to launch our net hedging solution during the third quarter of 2020. Our green bond trading initiative continues to support clients’ ESG-related investment mandates. In the second quarter, over $6 billion worth of green bonds were traded on our platform, resulting in over 30,000 trees being planted in critical regions across the world. We have now planted over 60,000 trees since the beginning of the year. Before providing color on July, please note that there are eight trading days remaining in the month. July market volumes have declined from Q2 levels as they often do around the 4th of July holiday. At this point in the month, July Trace volumes for high-grade and high-yield look similar to last July, and our high-grade estimated market share is running similar to Q2 levels and our high-yield estimated market share is running above Q2 levels. Now let me turn the call over to Tony to provide an update on our financials.
Tony DeLise: Thank you, Chris. On Slide 8, we provide a summary of our quarterly earnings performance. Overall, revenue was a record $185 million, up 47% year-over-year. 44% increase in credit trading volume and the inclusion of U.S. treasury trading resulted in 51% uplifting commissions. Information services revenue was up 18% in the second quarter and includes one-time data sales of approximately $600,000. Operating income was up 71% year-over-year. The leverage in our model came through clearly in the second quarter with operating margins, expanding to a record 56% while we continued to invest in a variety of growth initiatives. The effective tax rate was 19.7% in the second quarter and reflects $5.7 million of excess tax benefits related to share-based compensation awards. We expect that the full year effective tax rate will be near the lower end of the guidance range of 20%. Our diluted EPS was a record $2.20. The year-over-year increase in our diluted share count was largely due to the 146,000 shares issued as part of the LiquidityEdge acquisition. On Slide 9, we have laid out our commission revenue trading volumes and fees per million. Total variable transactions fees were up 61% year-over-year, driven by the increase in credit trading volume, higher U.S. high-grade fee capture and the inclusion of U.S. treasury trading commissions. U.S. high-grade fee per million was $5 higher on a sequential basis and $20 higher year-over-year, mainly due to longer duration. Average years for maturity on bonds traded over the platform hit nine years in the recent quarter compared to 7.8 years in the second quarter of 2019. Our other credit category fee per million increased by $6 on a sequential basis and $15 year-over-year, principally due to a shift among products favoring high-yield volume. Fee capture at the individual product level was very similar to the first quarter. Rates fee per million of $4.02 was slightly higher than Q1. Both U.S. treasury fee capture and agencies fee capture were similar for the first quarter levels. As a reminder, there could be some variability in our rates fee capture due to volume tiering under our treasury fee plans. Total distribution fees were $700,000 lower than the first quarter level. One U.S. high grade dealer and one U.S. high yield dealer transitioned from distribution fee plans to variable fee plans during the second quarter. Slide 10 provides you with the expense detail. On a year-over-year basis, expenses were up 25% for the quarter with compensation and benefits accounting for close to 60% of the year-over-year change. The main contributors to the rise in compensation benefits with an increase in headcount of 81 personnel in support of our growth initiatives and an uplift in the variable bonus provision, which is tied to financial performance. Clearing costs more than doubled year-over-year, reflecting the 87% increase in Open Trading volume and the inclusion of match principle treasury trading volume. The increase in depreciation and amortization reflects the continuing investment in product development and the trading platform along with the amortization of acquired intangibles. The biggest factor influencing the increase in technology and communication costs with higher software licensing fees, some of which are tied to trading activity. And the uplift in professional consulting costs is largely tied to higher recruiting fees. We expect that full year 2020 expenses will end up near the high end of our guidance range of $314 million. Among other items, the most sensitive factor to our expense forecasts is the level of credit market volumes, which impact variable line items such as clearing costs and incentive pay. We are assuming that credit market volumes are likely to decline in the second half of the year. On Slide 11, we provide balance sheet information. Cash and investments as of June 30th were $536 million and trailing 12 months free cash flow reached a record $280 million. During the second quarter, we paid the quarterly cash dividend of $23 million. We also repurchased 37,000 shares in total during the quarter, including 13,000 shares under our buyback program and 24,000 shares associated with the exercise or vesting of employee stock awards. We are approaching the go live dates for our U.S. and UK clearing and settlement initiatives. We believe that our regulated businesses that handle match principle trading have sufficient liquidity and capital to cover any new deposit or reserve requirements. We also do not anticipate any change in our shareholder capital return programs. Based on the second quarter results, our board has approved a $0.60 regular quarterly dividend. Now, let me turn the call back to Rick.
Rick McVey: Thank you, Tony. We are pleased with the record results we delivered during the second quarter. It is encouraging to see the acceleration of market share gains during these extreme conditions in credit markets. I want to thank our clients for supporting our vision for an open marketplace, our shareholders for believing in us and our employees for their dedication to allow their company to thrive throughout this health and economic crisis. We wish you all the best and hope that we are on the right path to a full recovery in the coming quarters. We would now be happy to open the line for your questions.
Operator: Thank you [Operator Instructions]. And our first question comes from Rich Repetto with Piper Sandler. Your line is open.
Rich Repetto: I guess my question is around automation, and great results on the Open Trading and as well as the automated trading. And I guess my question is around market data and I've heard from past panels and from calls, the importance of market data to continue to grow the automated trading. And so could you give us an update, either Rick or Chris on the market data offering and how important it is and I'd also like to find out why Chris hasn't wrestled more this $312 million of savings from Open Trading back to MarketAxess?
Rick McVey: Well, I was planning on talking about that savings, Rich, because it's unbelievable that a company of our size can deliver that much savings in a quarter where the savings actually dwarfs our revenues. So when clients see that savings, obviously, they are migrating to the platform. But to answer your question directly, you're absolutely right, Rich. Market data is a key component of automation. If you look at all the automation innovations, both here at MarketAxess and elsewhere in the industry, this highly dependent on very solid, accurate market data and price information. And it has to be real time in order for the automation to truly succeed. If you look at our roll out of our automated trading solutions and our pipeline of new initiatives around those tools, they are all linked to our wildly successful CP+ market data feed. So, that is a critical part of our automation strategy, both in terms of how to price the instrument as a guide for clients but also as risk parameters to protect them against large market moves while they have automation launch. So we have a number of risk controls using that unique market data that is AI supported market data. So to answer your question, we're continuing to advance our automation solutions. Things like Auto Responder is critically dependent on our CP+ data feeds and helping clients to automate how they become a passive liquidity provider in the credit market. I hope this answers your question.
Rich Repetto: Yes, but what about the 312, the wrestling of the 312…
Rick McVey: We'll happily provide that back to our clients.
Operator: Thank you. Our next question comes from Jeremy Campbell with Barclays. Your line is open.
Jeremy Campbell: Thanks for the update on the capability side of the algo. Maybe this is from both Rick and Chris here. Obviously, it seems like Open Trading and trade automation are kind of critical to the market share gains that you guys have had here today. It looks like both the number of firms, as well as the volumes went higher. So, I guess from a client perspective, given the unique working circumstances that we're in doing the virus. Can you maybe just give us some color on the outlook for cementing both Open Trading and automation into trading work flows from maybe both a new user and deepening wallet share perspective? And then also just kind of wondering if you see any slackening engagements in either of these systems this past month or so since some large dealers and asset managers have had traders move back into the office?
Rick McVey: Sure. I'm happy to start and quick Chris can follow up as well. But the beauty of our Open Trading solution is its simplicity. And we’ve really leveraged the broad base of institutional order flow that we have on the platform to create an open network where more people can participate in that order flow. And, I do think that the share gains first half of this year are largely attributable to the benefits that we see from the open marketplace; first, the cost savings that we've mentioned; and secondly, by expanding market participation. And virtually every quarter we see growing activity from a growing base of alternative market makers who are committing new capital to the credit markets. We see growing activity from ETF market participants. It's interesting to note when you look at the second quarter, ETF high yield share trading was up 52%, very close to our own overall trading growth. So, we're growing hand in glove with the ETF industry as well. And that base of market participants has been enabled for a new way of trading through Open Trading. We're also starting to see very positive signs from quantitative fund strategies, which historically have not been active in credit. And then finally, I’d point to growth that we're seeing in the hedge fund client segment, which is relatively new as well. So, when you look at the volume and share gains for the first half of the year, it is a very healthy combination of more volume with existing clients and new entrants into credit markets, which also then drives our optimism about market turnover. On your other point about work from home, there's no question that that has created a tailwind for electronic trading just out of necessity. Moving away from trading floors into a home office, it's much easier to connect with global liquidity electronically than it is any other way. However, given the results that we're delivering to our clients, we personally don't see that going back to where it was as clients return to their office environments. And this quarter, we do see some gradual return among dealers to their trading floors. Although, it's still at relatively low levels but asset managers continue to trade primarily from home. And our belief based on lots of conversations is that that is likely to stay with us through the second half of this year.
Chris Concannon: And Rick, I'll just add on the automation front. We continue to see high levels of usage, not only today but it's consistent with the trend line growth that we were experiencing prior to the crisis and the work from home. And it's really a work flow efficiency demand that we're seeing from our large institutional clients. If you look at the size of the credit market and how large its recently grown, the challenges continue to get more complicated to source liquidity and to execute both large and small sized trades. So, the work flow demands certainly are leading to a higher adoption rate of our automation solutions, both our Auto-X and our Auto Responder. And I would say it's still early days on Auto Responder, given some of the feature set that we have coming in the third and fourth quarter, things like high-yield, better enhanced OMS integration and even EM being launched on our Auto Responder. The other piece of automation that we're excited about, we plan to launch our first client algos in credit in the second half of this year closer towards the end of the year. That's a unique offering where we're not only using our automated solutions but we're wrapping orders together into a very sophisticated client algorithm for large institutional clients to use. So, we're excited about the innovation that's coming in the second half of the year around automation.
Operator: Thank you. Our next question comes from Kyle Voigt with KBW. Your line is open.
Kyle Voigt: Maybe just a question on the fed primary and secondary market corporate bond facilities. Just when we’re thinking about the direct and indirect impact from these. I guess first question, have you seen any fed buying directly on your platform? I'm not sure if that's happening for the dealers or BlackRock or something else. And then on just the fed facilities more broadly and in an indirect way. Do you think they're already helping to compress credit spreads and credit spread volatility? And if so, could that be a headwind to market turnover and the velocity of trade?
Rick McVey: Kyle, I'll take a crack at that. But first of all, we would never comment on any individual client activity on our platform. So, we don't have the liberty to answer your question about fed activity electronically and I would refer you to your corporate bond trading desk and others for further color on that. I think the fed has had an active role in the recovery of credit markets over the last four months. Most importantly, the short-term liquidity programs back in March and early April that unlock financing markets that really started the march toward more normal credit spreads that we observed throughout the second quarter. What you see in the media is consistent with our understanding is that the fed has been active in both ETFs and corporate bonds but the levels are not outsized. And the reality is that with the changes in the liquidity and financing markets, the credit markets did a really good job recovering themselves. And asset managers saw inflows through the quarter that they were putting to work, which caused credit spreads to compress significantly throughout the quarter. So, I think the fed is there when needed. It's clear that they have a vested interest in the capital markets and the cost of funding through this crisis, and they've had an impact on helping credit markets get back on their feet, which then allowed corporations to issue $700 billion in high-grade debt in one quarter. So, they definitely have made a difference there. With respect to secondary trading, I don't think their activity has been outsized versus normal market participants.
Operator: Thank you. Our next question comes from Ari Ghosh with Credit Suisse. Your line is open.
Ari Ghosh: Maybe just looking back to your comments around Open Trading. The value prop right now around liquidity cost saves that's fairly playing out nicely and driving rather auto activity, share gains and new firms from the platforms. So we already seen that. And I think you touched on this a little. But curious if you can just bar some of these recent share gains? How much of this is more environmental driven that could potentially dissipate on a more normal backdrop versus greater utilization from either under penetrated clients or regions, be it [Technical Difficulty] participation, APAC something like that that could end up being a lot more sticky. So, just trying to ascertain if these elevated levels should be viewed almost as higher reset level driven by diversity going forward with the platform?
Rick McVey: It's a good point. There's no question that the cost savings from Open Trading benefited from extreme volatility during the quarter, and the much wider price dispersion the clients observed in levels coming back on order flow in any form. So, I do think that the cost savings will ebb and flow based on volatility and price dispersion in each quarter. Having said that, we are confident that our Open Trading marketplace is unique. 95% of the order flow that I mentioned comes from institutional order flow and about 5% from dealer-initiated orders, and that's creating a tremendous opportunity for not only alternative market makers but also for institutional investors to find more matching opportunities per day and drive their transaction cost down on a consistent basis. So, we do believe that this is a long-term benefit to fixed income market structure. And it's great to see dealers embracing it more actively as well for their own liquidity with the levels of dealer initiated order flow where they can end up transacting either with an end client or another dealer on those orders. And it's nice to see that the profitability of MarketAxess is growing while at the same time, the dealers had very good quarters as well, which reflects how big these markets are. And we do think that longer term you're going to continue to see market share gains and increased market participation that will deliver transaction cost savings back to our clients for many years to come.
Chris Concannon: And I would just say that Open Trading has a wonderful network effect that we're seeing play out in not only high yield and high grade but obviously in EM where we're seeing participants that normally don't match with one another are able to match inside the all to all market. So, the network effect of Open Trading will continue to grow and participants are benefiting greatly by that network effect.
Operator: Thank you. And we have a question from Ken Hill of Rosenblatt. Your line is open.
Ken Hill: You mentioned earlier I think on the Auto-X side as far as the trades kind of moving into the larger scale kind of trade showing more confidence in that offering. Is there any sort of level you're seeing where clients maybe start to pull back or become more uncomfortable there? And what are the things you're looking at to kind of break down those barriers, is it more information driven or is it more liquidity there?
Rick McVey: It's really client comfort. We see a number of our largest users of automation regularly increasing the size of their orders that they're putting on their lists and loading into automation. And we're providing a great deal of analytics back to them of what is tradable and how liquid some of the products are. So it helps, we're guiding them on how they're finding quality execution at larger size orders across the Auto-X platform. So, we are seeing our biggest users continue to grow their order sizes on the platform. Obviously, I mentioned the launch of a client algo sometime in the second half of the year, that tool is also designed to take larger size orders and break them up into smaller size orders to allow clients to while trade a large size to do it over the course of the day or week in much smaller trade sizes. So we're seeing we're seeing a number of clients grow their own their order size in automation, but we're also trying to cater to those clients that want to trade with a lighter footprint in the market.
Chris Concannon: And I would just add to that. What we are seeing on auto execution with investor clients is mirrored with the dealer community and the increase in size through their algos. So, I do think it reflects confidence in trading automation in the system and it makes both dealers and investors more efficient interacting with order flow on the platform. And in addition to the increase in trade size through Auto-X, it was also interesting through the credit event in Q2 that our overall trade size in U.S. credit increased during the quarter and we had a record quarter for block trading volume. So, you see really positive signs in trading automation and dealer investor confidence. You see more block trades coming into system. Tony mentioned earlier the increase in average maturity in the system. Those are all very positive signs in terms of our clients are now comfortable using the system.
Operator: Thank you. We have a question from Chris Allen with Compass Point. Your line is open.
Chris Allen: I wanted to ask a question on velocity. Rick, you mentioned earlier that you've seen encouraging size losses increasing. Wondering if you can give us some additional color there? How do they relate to the quant funds you mentioned? And then also where do you think velocity can get to? It's still well below equity levels, not that I would have ever to get there. But where do you think it could possibly approach over the next coming years?
Rick McVey: Prior to bank capital, rate capital reform, it was common to see annual turnover in high grade corporate bonds at 0.95% or 1% of debt outstanding. And we we recently bottomed out at more like 0.65% and we've recently come back up to about 0.7%. So, we're still well below the levels you would see pre-reg reform on capital requirements for the banks. So if I had to target what a reasonable goal would be with the extension of market participants into credit and the benefits of trading automation, and don't forget how important the ETF market is. That was an active part of a solution over the last four months is both dealers and investors using ETF shares for critical liquidity needs, which then intersects with bond trading on MarketAxess. So, I think it's market innovation and it's the increase in market participation is brought about through all trading that's starting to show a brighter picture on market turnover. So, we've bounced from the lows and you think getting back to something that we would have seen prior to 2008 it’s more like 0.95% or 1% turnover per year would be a near term goal.
Operator: Thank you. And we have a question from Chris Shutler with William Blair. Your line is open.
Chris Shutler: Could you give us an update on your rough market share within high grade by trade size bucket, and what kind of market share gains did you see in the quarter across each of those buckets?
Rick McVey: So Chris, on the market share side, and I will give you the details. But the market share gains were, we experienced market share gains across all trade sizes and all maturities. And when you look at, if we just broke it up between block trading and non block trading. On the block side, our market share was up about 2.3 percentage points and our overall market share was up at 2.8 percentage points, and then the non block was also up about 2.8 percentage points. So regardless of trade size market share was up. If you looked at a heat map based on maturity, you would see market share up across all maturity sizes as well.
Operator: Thank you. And we have a question from Jeremy Campbell with Barclays. Your line is open.
Jeremy Campbell: Just couple of follow ups on that, one on just the prior question. Again, you had some pretty impressive market share gains in the quarter, especially on the back of a lot of new issues that came out during the quarter. So kind of by our back, it looks like your market share of new issued bond rating was actually higher than in prior years. I'm wondering one, if that's correct? And then two, if that's true, what do you think this is a bit of a structural shift? So maybe it'd be less of a headwind in future years, or is it maybe more transitory due to the kind of the work from home conditions?
Rick McVey: Yes, I think I would agree with all parts of your comment that we did do better in trading of newly issued bonds during the quarter. And hard to know how much of that was the work from home environment versus a longer term change in behavior. But we also did even better than the high level of share gains when you look at seasoned bonds and trading after the first four weeks. So, a nice combination of both. But our progress on new issues has been encouraging, but we also think this is going to be a perfect place for our new live markets protocol. And that was set back because of the extreme levels of volatility and some of the key market makers that are supporting that initiative, having plenty to deal with through the crisis and the work from home environment. But we continue to hear very encouraging things about new issues and liquid bonds through our live markets protocol, and that's something that we will continue to work on developing during the second half of the year.
Jeremy Campbell: And then Tony, can you just update us on the self clearing initiative for the U.S. market and maybe when that might now be expected to go live and likely to shut down the variable clearing system?
Tony DeLise: So, on the clearing side, right now, we are expecting to transition to self clearing in the U.S. and to a new clearing broker in the UK in the third quarter. It's a little bit later than what we have anticipated but probably understandable, given the pandemic impact on us and on our vendor partners. What we're doing is once we do go live in the third quarter, we do expect clearing costs as a percentage of Open Trading revenue for our credit business to decline. So remember, we have really two components to clearing costs. We have it on our Open Trading credit business. We also have clearing costs on our match principle treasury business as well. What we've talked in the past about what kind of savings we can deliver once we do go live. And typically, clearing costs on the credit side as a percentage of Open Trading revenue have been 11% or 12%, and we do think we could drive that down to the single-digit. It's even more important today because if you look at Open Trading revenue in 2019, our credit revenue was about $100 million. If it goes down, for example, 3 percentage points, that's $3 million in savings. If you look at the first half of this year and we're on $170 million run rate for Open Trading revenue. So, the cost savings are much more significant given what we're pushing through Open Trading today. So we've got our go live date targeted right now. And we would expect some savings as we go into say the fourth quarter, we do expect -- that’s part of our expense guidance. We do expect some favoribility on the clearing cost line into the fourth quarter.
Operator: Thank you [Operator Instructions]. Our next question comes from Sheriq Sumar with Goldman Sachs. Your line is open.
Sheriq Sumar: This is Sheriq filling in for Alex Blostein. Can you update us on the portfolio trading side and like what’s the traction that you’re seeing over there in this quarter, and any color on how the volumes have been for the portfolio trading in 2Q?
Rick McVey: As you recall, we launched our portfolio trading solution near the beginning of the year. We have seen growth in that product. I'll remind you that today 3% of overall trade fund is estimated to be portfolio trade. So, it's still a small subset of the overall market. But most of the portfolio trade solutions are really targeting single dealer solutions that provide more of a trade processing solution and not really a full trading solution. Our trading solution, our portfolio trading solution does both single dealer but also multi dealer. So, you can put your portfolio in competition for price among a number of dealers and that's something that many of our clients find attractive. We are providing additional enhancements in improving how those portfolio trades seamlessly move through processing into the owned assets, which is a critical piece of the portfolio trade. So, since our launch just over $1.3 billion in volume in portfolio trade, there was a slow down, obviously, in portfolio trades during the most recent market volatility given the difficulties in pricing portfolios in a fast moving market.
Operator: Thank you. Our next question comes from Rich Repetto with Piper Sandler. Your line is open.
Rich Repetto: I just want to get back to the, sort of the impact of issuance in the quarter. And Tony, you've done and I think this sort of mentioned earlier, but a calculation that sort of removes the issuance and sort of normalizes what the market share excluding the issuance. And could you go through that and what you calculate 2Q as? And then also maybe one last thing, the variable fee capture, and it's elevated because of the longer duration. Would you expect that to fall back somewhere between say this quarter and the first quarter? Is that a reasonable rate going forward? How would you view the variable fee capture?
Chris Concannon: So Rich, I can't say I did a whole little science project here on what market share would look with and without the new issues. But well, this is what I can tell you is, when you look at the proportion of TRACE volume that related to newly issued bonds. And let's just take the second quarter. If you look at just the first four weeks of trading, it was about a quarter of TRACE volume related to newly issued bonds. And if you look for any period prior to that it may have been 10% or 11% or 12%. So clearly, the portion of the market related to newly issued bonds increased dramatically. And you look at our market share, our market share gains year-over-year were up, for high grade were up 2.8 percentage points. And again, without getting too scientific, if you’ve pulled out the new issue piece, you would see our market share gains would have been even healthier. On one of the earlier questions that Rick responded to on did our market share go up in newly issued bonds? It did, not appreciably. But if you look at the first four weeks, our market share is typically around 5% or 6%. It was up a little bit but not a lot. So, you see when you do the math around a big increase in the portion of the market that relates to newly issued bonds the market share gains were even healthier. And just on the variable fee capture, there is so many factors and this particularly for high grade that we're talking about. The fee capture for high yield euro bond emerging markets very stable and not duration impacted at all. It’s the U.S. high grade plan where it is dependent on trade size. It is dependent on duration, which is years to maturity and yield. It's dependent on protocol. So, there is a lots of factors that can move it. The item we flagged was on years to maturity. You look over the past 10 years now, the years to maturity is ranged between seven years and 10 years. We're not at the absolute high. We're in the middle of that range, it did extend out a little bit in the second quarter here. Hard to say what will happen going forward. We've given some color in the past that and this is just, if you look it, all else equal, one year change in maturity could move the fee capture by something like $10 to $15 per million. So, if we move from say nine to 10 years, all else equal, fee capture move up, going from nine to eight years fee captures would move down. Tough to just, it's really, really hard to predict though.
Operator: Thank you. And we have a question from Kyle Voigt with KBW. Your line is open.
Kyle Voigt: Maybe just one just on that point on high-grade fee capture. Was it helped at all by lower yields as well or was that just a negligible impact in the quarter?
Chris Concannon: Kyle, it was much more on the years to maturity, because even though, you're right that yields were lower, spreads were higher, so -- where treasury yields were lower, spread to treasury was higher. So it was much more about the years to maturity. Anything we had a slightly negative offset because we did better in larger trade sizes. Not only our market share was up in larger trade sizes, the average trade size moved up as well. So if there was, more of the offset came from the tearing under our fee plan than it did from yields moving.
Kyle Voigt: And then just another question on the high yield business, just wondering if we can get an update on how sizable the ETF market makers were as a percentage of your high yield volume in 2Q and just wondering how that compares to where that's averaged historically?
Chris Concannon: Kyle, it's not -- I can't say the sort of scientific project around this. We do look at the ETF participants, and typically this is going back over the past five years. The ETF participants for our high yield business have ranged between 15% to 30% of our business. That 30% actually, you may recall, it was the blowout of the energy sector going back almost five years ago now. In the second quarter, that percentage was below 20%. So, what it does show is that our real money business and activity has increased significantly. ETF is critically important to our high yield business. But you're seeing growth from other market participants and clients on the platform as well.
Rick McVey: And I would just add that it's becoming very difficult to target who is an ETF market participant anymore, given the banks have grown their ETF desks dramatically in the credit space. And a number of new participants have come onto the platform. And obviously, we launched an effort late last year to target systematic fund strategies and they do make use of ETF arbitrage strategies and other signal based strategies. So, we've seen a huge growth in the systematic funds side. Just in the second quarter, they traded over 42 billion in volume. So, just a big move in a number of players that use both direct credit but also the ETFs as well.
Operator: Thank you. We have a question from Patrick O'Shaughnessy with Raymond James. You line is open.
Patrick O'Shaughnessy: Can you speak to the market dynamics in emerging markets right now, the industry wide volumes that you guys track are not up to the extent that U.S. high yield and U.S. high-grade are? And the market share gains have, while positive have not been quite as strong as in some of these other products. So what are you seeing right now in EM?
Chris Concannon: I think parts of the EM market have been a risk off environment for investors over the last couple of quarters, and with some very difficult market conditions in places like Argentina that are important markets for us in EM. So, there is greater caution among investors about adding exposure to emerging markets right now, because of some of the economic difficulties and high debt levels in some of those markets. So, it's not growing the same way that develop credit is right now. I still think it's likely to normalize and get back on track. But as a product area, market volumes have been more muted in EM than what we see in developed market corporate credit.
Patrick O'Shaughnessy: And then can you talk about the market opportunity that you see for your newly launched Dealer Direct tool? And should we think of that tool as comparable to TruMid's Attributed Trade protocol, or is it a different approach?
Chris Concannon: It's a great question. So, we're pretty excited about the dealer feedback on the Dealer Direct Streaming tool. And what's great about it is, it allows dealers to customize streaming liquidity direct to a disclosed client. So, it's a private way to stream liquidity to select clients. So in that regard, it's very similar to the TruMid solution, but it's not identical. The feedback has been positive. Obviously, it leverages APIs for the dealers. So, it's a fairly streamlined set up for them. And it allows the dealers to protect their data as well, the data that they show the clients is only for the client's eyes, we don't aggregate that data into any of our data feeds. So, it is truly a private market, streams private market for select clients.
Operator: Thank you. And I am showing no other questions in the queue. I’d like to turn it back to Mr. Rick McVey for any closing remarks.
Rick McVey: Thank you for joining us this quarter and please stay safe and stay healthy, and enjoy the summer months. And we look forward to catching up with you next quarter.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect. Everyone, have a great day.